Operator: Good morning, and welcome to the ITM Power Plc Investor Presentation. [Operator Instructions] The company may not be in a position to answer every question received during the meeting itself. However, the company will review all questions submitted today and publish responses where it's appropriate to do so. Before we begin, I'd like to submit the following poll. I'd now like to hand you over to the team at ITM Power Plc.
Dennis Schulz: This year, ITM has turned 25, and I'm proud that we can present to you a strong set of results, reflecting continued growth, commercial momentum and disciplined capital management. Over the past 25 years, we have evolved into a leader in electrolyzer technology. We are known for high-performing and reliable solutions with our stack technology at the very core of our success. In March this year, the Financial Times has confirmed us as the fastest-growing manufacturing company in the U.K. Simon Bourne, Amy Grey and I will give you a comprehensive update today with special emphasis on real-world projects and actual in-field product performance data, a level of transparency you will rarely see in our industry. We will also dedicate time to CHRONOS, our next step generation; and Hydropulse, our recently launched business model. Before going into more detail, let me provide you an overview, first, on the market and competition. Our pipeline of project opportunities is healthy and growing, and we are securing more than just our fair share in the market. Whether in refineries transitioning to green hydrogen or energy companies optimizing excess renewable power generation, we are positioned as a key player. With customers' FIDs taking time to mature, competitive pressure has increased and market consolidation is underway. This is a phase we expected and we are well prepared for. Governments continue to play an important role and regulatory frameworks remain favorable. Unchanged, Germany is the single most active market with significant funding already flowing into projects, pipeline and storage infrastructure and wider decarbonization. Net zero by 2045 is now enshrined in the German constitution and the release of the country's debt brake has unlocked EUR 500 billion of planned infrastructure investments. In contrast to the U.S., which has unsurprisingly slowed down significantly, the U.K. is finally gaining traction. With first FIDs now in sight, the Hydrogen Allocation Round 1 selected projects are coming to life. HAR2 has shortlisted 27 projects, together, 7x the capacity of HAR1. The only large HAR2 project, which announced supplier selection so far is Uniper's 120-megawatt Humber project, and it came our way. We are excited to support our customers to make their projects in our home market a special success. I don't want to go into too much region detail here, but Europe will continue to be the most important region for our products for the time being. Implementation of RED III is destined to stimulate demand even further. Operational excellence is fundamental to our strategy, be it for highest competitiveness in the current market environment, for customer confidence of our path to profitability. Our focused and disciplined approach is best explained by the improvement of our Factory Acceptance Test pass rate, which we were able to improve from below 50% to now 99% over the last 200 stacks produced. This reflects strong processes, efficiency, product reliability and our capability to execute effectively. Underpinned by continuous technological innovation, we are agile and responsive to the evolving needs of our customers in a dynamic global environment. Evidence for that are the launches of our products, POSEIDON and NEPTUNE V, which have landed particularly well with customers and which are generating commercial traction and success. Having retained full ownership of our core science and manufacturing processes, we do not only keep the technological edge. We maximize value add and ensure supply chain resilience. This plays to our own advantage even in times of global tariff uncertainty and supply chain disturbances as recently seen in the market. With our comprehensive product portfolio, proven track record of delivery and especially with our growing number of reference plants, ITM is well positioned. In particular, reference plants and in-field product performance data have become a key differentiator and are conducive to customer confidence. Thanks to the successful delivery and operation of flagship projects, we offer customers proven technology, underscoring our credibility with efficiency and reliability data from real commercial plants. Simon Bourne will talk more about this point later. Now I don't want to take the full financial part away, but it's worth summarizing that our strong set of results has confirmed our robust financial position. With revenue up 50% year-on-year or 400% over 2 years and with GBP 207 million of cash in the bank as of April, our financial performance and balance sheet are seen as clear competitive advantages by our customers. This also helps the bankability of projects. Our contract backlog has grown even quicker than revenue, which I will talk about in more detail on the next slide. The outlook for green hydrogen remains strong. The energy transition is no longer just about decarbonization but also about energy security and economic resilience. While early excitement led to unrealistic expectations, the cost correction was inevitable. Rather than signaling failure, these market adjustments reflect a healthy maturation process. The customer landscape, technologies and supply chains are evolving, weeding out weaker projects and paving the way for a more resilient commercially viable hydrogen market. In this environment, operational agility and financial discipline are key to remain strategically positioned to capitalize on emerging opportunities. One of these opportunities is Hydropulse, our newly launched build, own, operate business model, which I will shed more light on later in the presentation. Our strategic priorities have remained valid. We will continue to innovate and deliver best-in-class electrolyzers, scale our operations profitably to meet the growing demand and consciously expand our global presence to grow market reach, pursuing an asset-light approach. If order intake grows quicker than revenue, then the contract backlog is increasing. In turn, a growing contract backlog is therefore an important leading indicator of a sustainable business model. Over the past 2 years, ITM sales has grown by a staggering 400%, and still, our contract backlog has easily outpaced that and almost doubled during the year. Due to record order intake from the REFHYNE II 100-megawatt project, 40 megawatt of NEPTUNE V contracts, FEED study and aftersales contracts, at the end of April this year, our backlog stood at GBP 145 million. Also post financial year-end, this momentum did continue. Since then, we signed another NEPTUNE V contract with Westnetz in Germany, a NEPTUNE II contract with a Spanish cement producer, a 120-megawatt FEED contract with Uniper and more. We expect our contract backlog to grow further during this financial year. One part of our contract backlog is this great project in Norway for our customer, La Française De l’Énergie, short FDE, with whom we signed a contract in this calendar year. Located directly at the coast, the H2 Hub Agder project is consisting of 2 phases. Phase 1 comprises 20 megawatts for which we are proud that FDE chose our NEPTUNE V electrolyzers. The planned second phase aims to add another 40 megawatts of capacity at a later stage. Phase 1 is already in execution, currently in the so-called detailed engineering phase. For ITM, this is the first time we are integrating 4 NEPTUNE V containers into 1 overall plant, thereby demonstrating high flexibility to configure the plant to site-specific requirements. Given the harsh marine environment, we need special corrosion protection and opted for water instead of air cooling. The NEPTUNE V containers for this project will be manufactured in our new adjacent manufacturing workshop in Sheffield, no longer following a static build methodology but one where the containers are moving through different build stations for higher throughput, something you would normally expect in a car manufacturing environment. We are working very closely with our customer, FDE, to enable our joint ambitious time line. Commissioning is planned for the end of 2026, after which FDE will supply green fuels for the shipping industry. Another very important project we are currently delivering is the RWE Lingen 2x 100-megawatt plant. This time, I'm letting our customers and partners speak for themselves with their own LinkedIn posts. The world's biggest PEM plant in execution is well on track with now already 81 out of 150 stacks installed. The first 100 megawatts are planned to go live still this calendar year. The Lingen plant will supply green hydrogen via pipeline to the Total refinery in Leuna. I have to say that I'm particularly proud about Sopna's positive confirmation that we are a steady and reliable partner for RWE. This is the kind of credible customer validation, which goes a long way with prospective other customers. And of course, we couldn't be more proud and excited to being entrusted to deliver this XXL project together with our strategic partner, Linde. The many real-world learnings we are gathering together here are positioning us strongly for future joint projects.
Simon Bourne: Thank you, Dennis. I've previously discussed the performance of our TRIDENT stack platform in this forum before and claimed it to be the most advanced on the market. ITM has extensive testing facilities and many years of lab data, but it's real-world field data that customers want to hear about. This is because customers need to have confidence that the performance claimed by the OEM is representative of what they'll actually deliver. They also need to know that the rate of performance degradation is slow and working with the business model. If stacks need more energy to produce a given quantity of hydrogen, the cost of generation increases. Efficiency degradation is an important concern of customers and many competitors are struggling with this, not least because there are a few large-scale PEM plants in operation using current stack technology, even fewer that have been operating for several years. ITM has stacks deployed at numerous sites across Europe, Australia and Asia. The current TRIDENT stack platform has acquired over 125,000 cumulative hours of operation in the field. And this data is being routinely used to monitor performance and performance degradation rates. Today, I want to book the trend of the industry and share some of this analysis with you. I will use stack data from the 10 megawatts Shell REFHYNE I project, a refining application. This is a plant that has seen variable and intermittent operation, a very challenging profile and one only possible with PEM technology. The graph on the top right shows the recorded profile for 1 of the 5 modules that make up the plant, operating between 30% and 100% load. To assess performance degradation, I've looked at full load efficiency during the months of May 2024 and May 2025. Between those 2 periods, the plant accumulated approximately 30,000 stack operating hours and an average of 1,200 pressure cycles and 400 power cycles for each stack in the plant. Efficiency is measured in kilowatt hours per kilogram. The fewer kilowatt hours required to generate a kilogram of hydrogen, the higher the efficiency. Degradation is described in percent per 1,000 operating hours. During the 12-month period, the stacks achieved an average performance over the variable load profile of less than 49 kilowatt hours per kilogram. This is real-world market-beating efficiency, and the performance degradation rate was 0.09% per 1,000 operating hours. To provide some benchmarking, the EU 2030 target for degradation is 0.12% per 1,000 hours for PEM and 0.1% per 1,000 hours for alkaline technologies. This field data from ITM's TRIDENT stack beats both of these targets. This is highlighted in the graph on the bottom right. It must be said that this should still be considered early data. However, it's being added to rapidly and becoming tremendously valuable in strengthening customer confidence. I'd also like to express my thanks to Shell for continuing to allow partners and prospective customers to view the plant in Wesseling. This takes us to another example deployment of TRIDENT stacks, this time in partnership with Linde Engineering, who designed and supplied the balance of plant. This plant is located at a Yara facility in Porsgrunn, Norway. It has a capacity of 24 megawatts and is used to generate hydrogen for the production of green ammonia as fertilizer. To date, this plant has accumulated over 70,000 stack operating hours and has produced over 500 tonnes of green hydrogen already, another example of a plant that's being operated commercially in a real-world industrial setting. This, together with field data from several other plants is contributing valuable performance data that is starting to differentiate ITM. Our rapidly growing number of industrial-scale commercial reference plants is a tangible competitive advantage. My final slide is a brief update on our next-generation stack platform, CHRONOS, which is currently in development. In short, CHRONOS will have a larger capacity, lower cost and higher performance. It will support large-scale projects while also providing a route to refresh the full product range. CHRONOS builds on the technology that we've proven via TRIDENT. It applies all of the lessons learned from manufacture, project execution and field operations. The design squeezes much more electrolysis into a smaller footprint, dramatically increasing power density. It's also future proofed to not only take advantage of the best technology today but also the improvements that are coming through our rich technology pipeline. We've progressed through validation of new features and processes and are well on track with testing. While not publishing a specification until validation is completed, I can tell you that part count is reduced by approximately 50%. Ceiling components have been reduced by approximately 70%, and power density has more than doubled to over 2.5 megawatts per square meter. We're genuinely excited about what's to come. The validation process continues at pace, and I look forward to updating the market on progress in the near future.
Dennis Schulz: Thank you, Simon. In June, we launched Hydropulse, which was greeted with excitement by industrial customers. Under the slogan Zero CapEx, Zero Risk, Hydropulse opens a new chapter for ITM and for the green hydrogen industry. The Hydropulse premise is easily explained. While the industry needs green hydrogen to decarbonize operations, in the current market environment, project developers are faced with challenges around CapEx, financing and technology risk. This has opened a gap in the market, which in turn proves to be an opportunity for ITM. Hydropulse is tailored for exactly that, a simple, bankable and scalable solution to overcome the most pressing rework hurdles that are holding back exponential industry growth. Designed for industrial users with defendable hydrogen demand, Hydropulse will build, own and operate decentralized green hydrogen production plants. Each project will be built around a guaranteed long-term offtake agreement with the customer. Hydropulse, therefore, provides an additional more direct route to market for ITM, targeting small to mid-sized plants in Europe. Each invested asset will utilize ITM's NEPTUNE product range and will provide a high-quality, predictable revenue stream, expanding our addressable market, improving factory utilization and accelerating profitability for the ITM Group. We will not pursue speculative infrastructure investments. By taking unnecessary intermediaries out of the equation and offering all out of one hand, Hydropulse will be able to produce hydrogen at a cost others can only dream of. Operationally and strategically, we are in an exceptional position. We pair agility with scale, and we are staying ahead of the evolving market dynamics. And with this, over to you, Amy.
Amy Elizabeth Grey: Thank you, Dennis. Good morning to everyone, and thank you for joining us today. I'll take you through a strong set of results for the financial year ended 30th of April 2025 and share our guidance for the current year ending 30th of April 2026. We are pleased to report revenue of GBP 26 million, a 50% year-on-year increase and significantly ahead of our original guidance of GBP 18 million to GBP 22 million. This growth was driven primarily by equipment sales of GBP 22.5 million, complemented by income from front-end engineering design studies, maintenance, spare parts and equipment upgrades. While the majority of equipment sales revenue this year came from legacy contracts, which, while fully provided for, were not contributing to profit, these deliveries reflect our commitment to fulfilling past obligations, positioning for a far stronger higher- margin future. As a reminder, most of our equipment revenue is recognized at a point in time, typically upon delivery or site acceptance testing, which means revenue lags long behind factory activities. Our growth loss has increased this year, but importantly, this reflects strategic actions from our previous plan, expanding capacity, improving manufacturing efficiency and shifting to build to order rather than build to capacity. These changes are already delivering results with our Factory Acceptance Test pass rate soaring from under 50% to 99%, a transformational improvement in product quality and reliability. We have continued to uphold strong discipline around cash and cost control and have achieved an overall cost reduction in overheads while we continue to improve the level of capabilities and competencies of our employees. These steps strengthen our operational foundation and set us on a clear trajectory towards even greater efficiency, scalability and profitability. Our contract order backlog now stands at GBP 145.1 million, double that of FY '24. Since Dennis joined ITM, we committed that every contract we win must be profitable in its own right. This focus is paying off, 60% of the current order backlog represents future revenue that will contribute positively to margin and the share continues to grow. We are not only building profitable contracts, we are also creating valuable reference plants, building lasting relationships and increasing the proportion of profitable projects in our backlog. This disciplined approach is taking us step by step towards sustained profitability. We ended the year with a cash position of GBP 207 million, significantly ahead of our original guidance, and notably, the second half of the year was cash generative. The table shows the major cash movements in the year contributing to the GBP 23.3 million change. This includes an exceptional item of GBP 13.1 million in a commercial settlement as previously disclosed. Excluding this, the cash movement was GBP 10.2 million, a major improvement compared with the GBP 52.4 million movement in the prior year. The graphs on the right show that while reducing overall inventory balances as products are dispatched, we have maintained a healthy ratio of raw materials to finished goods, which was established in the prior year. Our CapEx has also decreased in line with our cash discipline, while we've increased the proportion of spend on research and development, particularly in advancing CHRONOS, our next-generation stack, which has already been highlighted in this presentation. And now on to our guidance for the year ended 30th of April 2026. We are expecting revenue to grow by a further 50% to between GBP 35 million and GBP 40 million, including recognizing revenue on the Lingen I project, which was reported on earlier in this presentation. As a reminder, we recognize revenue on contract completion, and we expect the majority of this revenue to be recorded in the second half of the year, aligned with deliveries and site acceptance tests. We forecast our adjusted EBITDA loss to improve to GBP 27 million to GBP 29 million as we continue to work through the remaining legacy contracts. The losses are now primarily linked to factory loading and fixed cost absorption, while we maintain rigorous control over production, projects and overhead costs. We expect year-end cash to be between GBP 170 million and GBP 175 million, reflecting tight cost and capital discipline alongside an expected working capital increase of GBP 10 million to GBP 15 million. CapEx is expected to be GBP 15 million to GBP 20 million with a focus on further developing CHRONOS, continuing to carefully advance manufacturing automation and scaling the efficient production of our NEPTUNE units. This will be conducive to our competitiveness. Finally, I'm delighted to extend a special invitation to our retail investors. To mark our 25th anniversary, we are opening the doors of our Sheffield factory to 25 retail investors. Guests will see our manufacturing process firsthand, meet our talented team and experience the heart of our business. Details will be shared on social media in the coming weeks, and we look forward to welcoming you. That concludes our presentation. Thank you for your attention and continued support.
Operator: [Operator Instructions] I would like to remind you the recording of the presentation, along with a copy of the slides and the published Q&A can be accessed via investor dashboard. I'd now like to hand you over to Justin Scarborough, Head of Investor Relations to host the Q&A. Justin, as you can see, we've received a number of questions. Can I, therefore, please ask you just to read out the questions and give responses where appropriate to do so, and I'll pick up from you at the end.
Justin Scarborough: Thank you very much, Paul, and welcome to everybody to today's FY '25 results call. We've got a number of questions that have come through. And the first one is aimed towards Simon, which is how excited are you about CHRONOS.
Simon Bourne: I'm very excited about CHRONOS. I think we're starting from a tremendous place. We have industrialized and supplied some great technology in the form of TRIDENT, and it is delivering market-leading performance, and I've shown you some evidence of that today. CHRONOS has really been an opportunity to incorporate all of our lessons learned, and that has meant that we've been able to make steady improvements to manufacturing processes to make it more straightforward, quicker and easier to assemble. And we have also been able to simplify the logistics of shifting stacks around to site during project execution. I think the part of CHRONOS that I'm most excited about is the design and technology changes that will be delivering some significant cost down and performance improvements. We have also managed to squeeze a lot more electrolysis in a smaller footprint. That means that the whole system will be much smaller. That helps us to reduce the footprint of a site and that, in turn, helps reduce the cost of construction in project realization. We've also future proofed the stack so that not only can it take advantage of market-leading technology today, but the technologies that are in the process of coming through our design and validation process can also be utilized once they're ready. And that means that we can adopt those into the stack without having to make any stack redesigns on the way. So very excited.
Justin Scarborough: Thank you, Simon. Question #2 is for Amy. The FAT improvement is impressive. Can you help us understand how this helps to improve costs within the business?
Amy Elizabeth Grey: Yes, of course. So yes, I think it's a particularly impressive statistic that we've managed to transform our operations by. Essentially, efficient and quality production processes will ultimately give us less wastage, less write-offs, reducing costs and giving us, in turn, a really good strong competitive advantage. That, in the round, opens up the possibility of different factory testing regimes, different manufacturing processes and the ability to make our production even more efficient than it is today.
Dennis Schulz: Yes. Maybe if you allow me to add a bit to that, when you talk about testing regimes, I think it's fair to say that, today, we test each and every stack we deploy and the more confidence we have in the recurring quality. And as I said earlier in my presentation, we had 1 failure out of 200 stacks produced. And this will allow us soon to go to batch testing instead of testing every stack, which will increased throughput, but we will also take down energy cost and all related costs when it comes to testing.
Justin Scarborough: Thank you very much. Question #3 is another 1 for Amy. Could you remind us about your revenue recognition and cash flow profile through the life of a contract?
Amy Elizabeth Grey: Yes, absolutely. So revenue recognition, we assess under the accounting standards. So it's a contract-by-contract basis to assess which accounting treatment you use in each particular case. It leads to different accounting treatments based on the specific of the contracts, but the majority of ours are on a completed contract basis. So that's typically where we recognize revenue in a lump sum towards the end of a contract, so that will be either on SAT or delivery. And that lags behind any factory activity. So you don't see the revenue until after we've produced everything. There are occasions where we have contracts that are based over time, but they are limited. And in those cases, you recognize revenue as the contract progresses. So there are no hard and fast rules for each product type because each contract and each sale is bespoke. But some of our products lend more easily to over time, such as POSEIDON and some of them lend to more completed contract basis such as just the TRIDENT, NEPTUNE. So that's where we'd recognize revenue at the end. All that differs very much from our cash profile where we set all our contracts up to be, at a minimum, cash neutral throughout the life. So we're collecting cash as we are producing whatever goods that we're making. And the time scales of that cash collection can be different. So -- and NEPTUNE is a much shorter time frame than a, say, 200-megawatt plant, which could be over a couple of years.
Dennis Schulz: Yes, true. When it comes to cash profiles, maybe still worth adding that, usually, we would execute cash neutral or cash positive, which means that usually the cash in should be pretty well aligned to cash out in projects or slightly above.
Justin Scarborough: Thank you. I think it's probably a question for Dennis. Beyond Lingen I, what is the next biggest project you expect to recognize revenue on in the current financial year?
Dennis Schulz: In FY '26. So that would be Leuna, our 24-megawatt project, which we are executing together with and for Linde. The plant is currently in installation, and we would expect commissioning before calendar year-end.
Justin Scarborough: Thank you. A question for Amy. Your order backlog was GBP 145.1 million at the year-end. What is it today?
Amy Elizabeth Grey: Okay. So we don't give guidance on the order backlog beyond the end of the year, so beyond the end of FY '25. But I think you'll be able to see from recent RNSs that we have kept increasing our order intake. So we've won several contracts. There was a NEPTUNE V with Westnetz, NEPTUNE II with a Spanish customer. And then we've very recently announced our first POSEIDON contract with MorGen. So it's safe to say that the number has grown, but we won't give actual numbers beyond the year-end.
Justin Scarborough: Thank you. The next question, I think, probably for Simon first of all. Do you think it is correct that some believe that alkaline is cheaper than PEM technology?
Simon Bourne: Okay. So I've always said that each of the technologies have their advantages and disadvantages. But do I believe that alkaline is cheaper than PEM? No. I mean, on the one hand, alkaline stacks do use lower cost materials, but because the current density in alkaline stacks is so low, the stacks are so much bigger, so lower cost material but much, much more material, doesn't really give you a net advantage. I think when you then start to look at the cost of project execution, because the stacks are so much bigger, the systems are so much bigger, the building costs get really quite significant and will be more expensive than PEM. And in Europe today, there's no cost advantage for alkaline at the full-scale plant size. And we've had that feedback from a number of reference points in both the U.K. and in Europe. Perhaps while I'm on the topic, if I can, there's normally a second part to that question, which is, do I believe that alkaline stacks are more efficient than PEM, and the answer to that would also be no. I wouldn't just take my word for it. You can look at the EU 2030 targets, which are there for both PEM technology and alkaline. And it's quite interesting to note that those targets are identical in terms of performance for both alkaline and PEM. The difference though is the target for PEM is at 3 amps per square centimeter and the target for alkaline is at 1 amp per square centimeter. So I think that says quite a lot about the difference in efficiency of the 2 technologies.
Dennis Schulz: Yes. Maybe adding to that, I mean, from real life deployments or real life tender processes, if you take a 100-megawatt PEM and 100- megawatt alkaline plant full EPC total installed cost, in Europe, as Simon said, that's more or less the same today. There wouldn't be a significant advantage. But probably worth mentioning, again, that with CHRONOS, that would shift significantly. As you explained, CHRONOS will not only leap ahead in terms of efficiency and performance, but it will also be significantly cheaper than the current TRIDENT solution, which means that with CHRONOS, we are effectively cheaper than alkaline even if you, for example, take a 100- megawatt comparison in Europe.
Justin Scarborough: Thank you very much. A question for Dennis. Just over a year ago, ITM announced the 500-megawatt capacity reservation. Is it possible to provide an update on this?
Dennis Schulz: Yes, of course, we cannot disclose the customer due to NDA requirements or confidentiality requirements. But what we can say, I think we're allowed to say that, is that there has been a first call-off in the financial year '25. So in the last financial year, there's been a call-off against that 500-megawatt capacity reservation, and we are working very closely with our customer towards more projects as call-offs from the capacity reservation.
Justin Scarborough: Thank you. The next question is for Amy. Within the FY '26 CapEx guidance, how much is allocated to Hydropulse?
Amy Elizabeth Grey: Okay. So the simple answer is we haven't allocated any CapEx to Hydropulse within that guidance at the moment. How Hydropulse will work is each individual contract will be judged on its own merits with a full business case behind it, and any investment decision will be made on that specific individual case. If there are significant investments that we need to make into Hydropulse that would alter the cash guidance, we would, of course, raise your guidance at that point. But the moment, the CapEx doesn't include any Hydropulse projects. In our overall cash numbers, we have a small amount of overhead allocated to Hydropulse this year.
Justin Scarborough: Thank you. Almost like a follow-up for Hydropulse. Can you please explain how project financing will work with Hydropulse?
Amy Elizabeth Grey: Of course. So project financing, again, this is going to be on an individual project-by-project basis. So there is no one kind of clear rule. It will be based on the individual requirements of that project and the specifics of it. But to give some examples, we could, for example, look at funding it through a debt financing, which is asset backed or based on future customer receipts. I think what's important in the Hydropulse business model is that it makes the chance for individual projects to be very cash positive quickly. And also they would be profitable from day 1, so they would be revenue generating and profitable from day 1 of operation.
Dennis Schulz: Yes. I think it's fair to say Hydropulse is, by its business model, not designed to drain cash from ITM but to deliver cash.
Justin Scarborough: Thank you. Next question, over the past year, we have announced several FEED contracts. Could you explain the FEED process and time lines associated?
Dennis Schulz: Sure. Want to go first?
Simon Bourne: Sure. Well, FEED stands for Front-End Engineering Design. And it is there to really specify everything to do with a particular project, so everything that is project specific. So there's quite a lot to do, there's some genuine heavy lifting, defining the site layout, getting the piping system all organized, doing some safety documentation and so on and so forth. And they would typically run for 6 to 9 months. They could go a bit longer to 12 months if the project is particularly big. And the reason that FEEDs are so important is that, that is the place where you get enough definition so that you can start to engage with suppliers and get some quotes back. And that means that you can get much crisper on the cost. And that process is really important to feed into the final investment decision.
Dennis Schulz: And usually, you would see -- so after FEED completion, you would usually expect a 3, 4 months delay to FID under normal circumstances if there's no other factors which would delay a decision. But as Simon rightfully explained, FEED processes come into play, especially for larger projects, which are more complex where you're trying to integrate a specific plant component either into brownfield already existing installation or where you need to have a highly bespoke customized product plant design, which -- where you need a proper design basis before you can engage with suppliers regarding firm prices in order to get to a full firm price towards the end of the FEED process for the customer to have a proper basis for their FID.
Justin Scarborough: Sorry, the next question. Does the situation in the U.S. regarding the development of the green hydrogen market have any impact on ITM?
Simon Bourne: I'll start. Well, ITM has got an ASME-compliant stack in TRIDENT today. So we are able to engage now in projects in the U.S. But we did see the risk of slowdown in green projects in the U.S., and so we didn't invest in the U.S. to any significant degree. So that means there's a certain insulation that we have from that slowdown that doesn't cost us particularly. There may be other [ OEMs out there ] that perhaps have put more money into the U.S., and we chose not to do that. So we are able to pick up business there when it fits, but the slowdown isn't really hurting us.
Dennis Schulz: Yes. I still remember, I think it was a year ago, 1.5 years ago when I was asked the same question in the other direction. When are we -- or what are we doing more when it comes to the U.S.? And at that time, I said I would always want to see more anchor demand, sustainable anchor demand in a certain world region before committing capital into that region to build a factory. And I think that strategy has proven to be right. We shied away from early investments also because we were a bit skeptical about the hype of the U.S. market. Now we have seen a reversal basically, which was also a bit unexpected, but I think it proved to be the right strategy to be very careful with capital allocation, especially given that that's all shareholder capital. And we -- I think we have now made ourselves a name to be very careful how we spend money, as you also see in the cash flow numbers of FY '25.
Justin Scarborough: Thank you. A couple of finance questions coming your way, Amy. The first one is what proportion of your work in progress relates to the FY '26 guidance?
Amy Elizabeth Grey: Okay. So we state in our accounts that -- of the contracted order backlog we're going to recognize roughly 25% of that. It's about 1/4 in this next year, so in FY '26. Work in progress is really quite closely aligned with that. So while we wouldn't give specific numbers, you would expect a similar level of work in progress to be related to that revenue.
Justin Scarborough: Thank you. And a second financial question. Could you help us understand your gross loss line, what it's made up of and what the near-term drivers of it are?
Amy Elizabeth Grey: Yes, of course. So first of all, let me just say that I think we've done some really great work over the last couple of years of controlling costs, making sure we've got an efficient and quality production line, controlling costs on projects, winning profitable projects and also controlling overheads, and we'll maintain that discipline and accelerate it where we can but keep an absolute focus on there. We're now at that point where our losses are really made up of under absorption of the factory. And that speaks to both the improvements that we've made in our production processes and quality over the last few years. But also, we did shift from building to capacity, so essentially filling the factory and filling work in progress and stock to building to order. So there are under absorptions in the factory at the moment. They will lessen as the volumes go up. So as we win more projects, as we gain significant orders as we have been doing, we will complete -- fill the factory and reduce some of those under absorptions. The other thing that contributes towards gross loss, which is talked about, is the legacy projects that we're still working through. So we're still recognizing revenue on those legacy projects that is fully provided for if they are loss making, but they don't contribute towards gross margin at the moment.
Justin Scarborough: Thank you very much. The next question, when do you expect to deploy the first NEPTUNE V given that the Guttroff contract was announced last November.
Dennis Schulz: I assume that's to me, right? Guttroff, the customer name is Guttroff in Germany, a smaller gas company. We indeed signed the contract in November last year. The engineering has been completed. Procurement has been mostly completed. Almost all of the parts or the key parts have arrived. The NEPTUNE V unit is currently in build on our shop floor. Actually, if we were just looking out of the window here, which you can see, you would see it being built as we speak. And we are on track towards factory acceptance testing still this calendar year and then shipment is planned for Q1 2026.
Justin Scarborough: Thank you. A question for Amy. I believe in the RNS and during the presentation, you talked about the path to profitability. Could you help us understand what that path looks like?
Amy Elizabeth Grey: Yes. So just to reiterate, we can't guide beyond the current year, but I can talk about the kind of the elements that will make up that profitability. So we can confidently say that we think we've got a strong enough balance sheet to see us to that point of profitability. We need to absolutely maintain the cost discipline that I've talked about, so overheads, projects and production. We need to continue growing the order backlog, and particularly the percentage of that order backlog that is new contracts where it is outweighing the legacy contracts now, that will continue to grow and contribute towards it. So really, profitability is a question of time now. It's filling the factory and time. And we're doing lots of development work to make that an accelerated time line and in particular, CHRONOS should give the ability to reduce costs and give us more of a competitive advantage in terms of filling the factory.
Justin Scarborough: Thank you. In terms of time, that's all we've got for questions today. There is one thing that's come in as a note and it's not a question. It's someone who wanted to say congratulations on the MorGen contract that was announced yesterday morning.
Dennis Schulz: Thank you very much.
Justin Scarborough: So many thanks, everybody, for your interest in ITM. Questions that were submitted prior or during the meeting that weren't answered will be responded to in the normal way via the IMC platform over coming days. Thank you for your attention.
Dennis Schulz: Thank you.
Operator: Justin, thank you, and thank you to the ITM management team for updating attendees today. Can I please ask investors not to close the session to be automatically redirected to provide your feedback in order that management can better understand your views and expectations. This will only take a few moments to complete, and I'm sure it will be greatly valued by the company. On behalf of the management team of ITM Power Plc, I would like to thank you for attending today's presentation, and good morning to you all.